Operator: Welcome to the Golub Capital BDC, Inc. December 31, 2019 quarterly earnings conference call. Before we begin, I would like to take a moment to remind our listeners that remarks made during this call may contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Statements other than statements of historical facts made during this call may constitute forward-looking statements and are not guarantees of future performance or results and involve a number of risks and uncertainties. Actual results may differ materially from those in the forward-looking statements as a result of a number of factors, including those described from time to time in Golub Capital BDC, Inc.'s filings with the Securities and Exchange Commission. For materials, the company intends to refer to on today's earnings conference call, please visit the Investor Resources tab on the homepage of the company's website at www.golubcapitalbdc.com and click on the Events/Presentations link. Golub Capital BDC's earnings release is also available on the company's website in the Investor Resources section. As a reminder, this call is being recorded for replay purposes. I will now turn the call over to David Golub, Chief Executive Officer of Golub Capital BDC.
David Golub: Thanks Christine. Hello everyone. Thanks for joining us today. I am joined by Ross Teune, our Chief Financial Officer, Greg Robbins and Jon Simmons, both Managing Directors here at Golub Capital. Yesterday in the morning, we issued our earnings press release for the quarter ended December 31 and we posted an earnings presentation on our website. We will be referring to that presentation throughout today's call. For those of you who are new to GBDC, our investment strategy is and since inception has been to focus on providing first lien senior secured loans to healthy resilient middle market companies backed by strong partnership-oriented private equity sponsors. Gregory is going to start today with an overview of GBDC's results for the first quarter of 2020. Ross will then review those result in more detail and I will close with an update on our market outlook. Let me just start with the headline. The quarter ended December 31 was another solid consistent quarter for GBDC. Last quarter, you will recall that GBDC's reported GAAP results were complicated by one-time, non-cash accounting items related to our merger with Golub Capital Investment Corporation, or GCIC. We said we expected GAAP net income beginning in the first fiscal quarter of 2020 to more clearly reflect GBDC's fundamental economic performance and we believe it does and we believe it will continue to do so going forward. Our first fiscal quarter post-merger results show strong GAAP EPS in excess of our regular distributions per share of $0.33 a quarter, driven by solid net investment income and $0.02 per share of net realized and unrealized gains. With that, I will turn the call over to Gregory who will begin to go through the details.
Gregory Robbins: Thank you, David. Before I go through the details, please note that in addition to the GAAP financial measures in the investor presentation, we have provided certain non-GAAP financial measures to make GBDC's post-GCIC merger financial results easier to compare to our pre-merger results. These non-GAAP measures, referred to as adjusted measures, seek to strip out the impact of the merger-related purchase premium write-off and amortization and are further described in the appendix of our earnings presentation. We will refer to the adjusted measures where appropriate as we think they are better indicators of performance. With that context, let's turn to slide three to look at the results for the quarter. Adjusted net investment income per share, or as we call it, income before credit losses for the quarter ended December 31, 2019 was $0.33. This compares to adjusted net investment income per share of $0.33 for the prior quarter. Adjusted net realized and unrealized gain per share was $0.02. This compares to adjusted net realized and unrealized gain per share of $0.02 for the September 30th quarter. Earnings per share and adjusted earnings per share for the quarter ended December 3first, 2019 were $0.35. As we communicated last quarter, we expect earnings per share will equal adjusted earnings per share going forward as any purchase premium amortization should be offset by a corresponding reversal of the unrealized depreciation on the loans acquired from GCIC in the merger. Adjusted earnings per share for the quarter ended December 3first, 2019 of $0.35 remain unchanged from the prior quarter. On December 3first, 2019, we paid a quarterly distribution of $0.33 per share, an increase of $0.01 from before the GCIC acquisition. In addition, we also paid a special distribution of $0.13 per share, our fourth consecutive calendar year in which we have paid a special distribution. Absent this special distribution, our NAV per share would have increased this quarter. Primarily as a result of the special distribution, our NAV per share declined to $16.66 as of December 3first, 2019 from $16.76 as of September 30th. Finally, on February fourth, 2020, our Board declared a quarterly distribution of $0.33 per share which is payable on March 27th, 2020 to stockholders of record as of March 6th. I will now hand the call over to Ross to go through more details.
Ross Teune: Great. Thanks Gregory. Turning to slide four, this slide highlights our total originations of $271.1 million and total exits and sales of investments of $154.3 million, contributing to net funds growth of $155.4 million or 3.6% during the quarter. As shown in the bottom table, the weighted average rate of 7.4% on new investments this quarter was consistent with the prior quarter. In addition, the weighted average spread over LIBOR on new floating rate investments of 5.6%, the weighted average rate on investments that paid off of 7.8% and the weighted average fee received on new investments of 1.4% were all relatively consistent with the prior quarter. As a reminder, the weighted average rate on new investments is based on the contractual interest rate at the time of funding. For variable rate loans, the contractual rate would be calculated using current LIBOR, the spread over LIBOR and the impact of any LIBOR floor. The top of slide five shows that GBDC's average investment size remained at $17.3 million as of December 31, or 0.4% of the total portfolio based on fair value. The bottom of the slide shows that our overall portfolio mix by investment type has remained consistent quarter-over-quarter with one-stop loans continuing to represent our largest investment category at 83%. Turn to slide six. Our debt investment portfolio remains predominantly invested in floating rate loans and defensively positioned in what we believe to be resilient industries. Turning to slide seven, this graph summarizes portfolio yields and net investment spreads for the quarter. Focusing first on the light blue line, this line represents the income yield, or the actual amount earned on the investments, including interest and fee income but excluding the amortization of upfront origination fees and purchase price premium. The income yield decreased by 40 basis points to 8% for the quarter ended December 31. This was primarily due to the continued decline in LIBOR over the past few quarters, which continues to impact portfolio yields as LIBOR contracts reset. The investment income yield, or the dark blue line, which includes amortization of fees and discounts, also decreased by 40 basis points to 8.4% during the quarter due to declining LIBOR. The weighted average cost of debt or the aqua blue line, decreased by 10 basis points to 3.9%, a smaller change than the decline in LIBOR as some of the interest rate contracts on our CLO liabilities did not reset until early 2020. As a result, our net investment spread, the green line, which is the difference between the investment income yield and the weighted average cost of debt, declined by 30 basis points to 4.5%. Flipping to the next two slides. Fundamental credit quality remains strong, with over 90% of the investments in our portfolio having an internal performance rating of four or higher as of December 3first. During the quarter, the number of non-accrual investments increased to seven investments and non-accrual investments as a percentage of total investments at cost and fair value were 1.6% and 1.3%, respectively, as of December 3first. As a reminder, independent valuation firms value approximately 25% of our investments each quarter. Reviewing the balance sheet and income statement on slides 10 and 11, we ended the quarter with total investments at fair value of $4.4 billion, total cash and restricted cash of $133.2 million and total assets of $4.6 billion. Total debt was $2.3 billion which includes $1.1 billion in floating rate debt issued through our securitization vehicles, $305 million of fixed rate debentures and $890.7 million of debt outstanding in our revolving credit facilities. Total net asset value per share was $16.66. Our GAAP debt to equity ratio was 1.06, consistent with recent quarters and within our target range of 0.85 times to 1.15 times. Flipping to the statement of operations. Total investment income for the quarter ended December 3first was $78.6 million and total expenses were $45.9 million. Due to the acquisition of GCIC, which closed on September 16th, 2019, comparisons of the prior quarter for total investment income and total expenses are not meaningful. Excluding the impact of the GCIC purchase premium amortization, adjusted net investment income per share and adjusted earnings per share of $0.33 and $0.35, respectively were consistent with the prior quarter. Turning to slide 12. This graph illustrates our long history of steady growth in NAV per share since our IPO. For historical comparison purposes, we have presented NAV per share both including and excluding special distributions. Turn to slide 13. The graph on the top summarizes our annualized return on average equity over the past five years, which has averaged 8.6%. The graph on the bottom summarizes our regular quarterly distributions as well as our special distributions paid in each of the past four years. In addition, it highlights the increase in our quarterly distribution from $0.32 per share for the quarter ended September 30th to $0.33 per share for the quarter ended December 31. Turn to slide 14. This slide provides some financial highlights for our investments in our two senior loan funds. This will be our final reporting on the senior loan funds. As we reported in an 8-K filing on January first, 2020, we entered into an agreement to purchase the remaining 12.5% of the LLC equity interests in the SLFs from our minority interest partners. As a result, the assets and liabilities of the SLFs will be consolidated into GBDC's financial statements for the periods ending on or after January 1, 2020. The next slide summarizes our liquidity and investment capacity as of December 3first in the form of restricted and unrestricted cash, availability on our revolving credit facilities and debentures available through our SBIC subsidiaries. Slide 16 summarizes the terms of our debt facilities as of December 3first as well as our focus on diversified, long term and stable sources of debt capital. Lastly, on slide 17, our Board declared a regular distribution of $0.33 per share payable on March 27 to shareholders of record as of March 6. With that, I will turn it back to David for some closing remarks.
David Golub: Thanks Ross. So to sum up, GBDC had another solid quarter. Net investment income was very consistent. Credit was good, although we did see a small uptick in non-accruals. And the investment portfolio remained well diversified. I want to close with updates on two topics. First, what our merger with GCIC may mean for the BDC industry and second, an update on our strategy for calendar 2020. Let me start with the merger. The merger with GCIC essentially doubled the size of GBDC and it did so on terms that we think were a win-win-win for the company, our existing stockholders and our new stockholders. We believe the transaction represents a potential new growth model for the BDC industry. But it's interesting, it's a model that we believe will only be available to a small number of BDCs. Let me explain what I mean by this. If you think historically, BDCs have followed one of three principal strategies for growth. The first is the strategy GBDC has pursued prior to the GCIC merger. That strategy involves growing at a measured pace through small, episodic follow-on equity raises timed to coincide with periods when the manager expects to be able to quickly deploy the proceeds. When done right, it's a win-win for the company and its stockholders, but it's necessarily slow. The second strategy involves larger follow-ons. Some of these that we have seen in the industry have been good for managers, but rarely have they been good for existing stockholders. Typically larger offerings either have caused NAV dilution or earnings dilution or both. The third strategy involves acquiring portfolios. A few BDCs have successfully created value for stockholders this way, but attractive targets are rarely available and the execution risks are quite significant. Our view is that the merger with GCIC represents a potential fourth growth strategy. That growth strategy involves acquiring affiliated private BDCs on terms that are accretive for existing stockholders and compelling for new stockholders. The key to making the math work is that the acquirer has to consistently trade at a premium to NAV. In other words, the strategy isn't available for everyone. We think better performing BDCs that trade at consistent premiums may get rewarded by stockholders over time because they have access to this new form of shareholder value creating growth. Which leaves me to a logical next question, what enables a BDC to consistently trade at a premium to NAV? And you have heard my answer to this before, we believe that the answer is access to a platform with sustainable competitive advantages which in turn permit the BDC to produce consistent premium returns. And this brings me to the second topic: what's our strategy for calendar 2020? My answer will be boringly familiar. It's the same one we followed for many years: stay at the top of the capital structure, focus on healthy, resilient middle market companies backed by strong private equity sponsors and lean on the competitive advantages of the Golub Capital platform. If we look back on 2019, our sponsor relationships, incumbencies, reliability, market-leading scale, industry expertise and the breadth of the financing solutions we were able to offer sponsors, all of these helped us win a high proportion of the deals we wanted to win. We expect more of the same in calendar 2020. With that, let thank you for your time today and for your partnership. And Christine, if you can please open the line for questions.
Operator: [Operator Instructions]. And our first question comes from the line of Finian O'Shea with Wells Fargo. Please go ahead.
Finian O'Shea: Hi. Good morning. Thanks for taking my question. David, just first appreciating the comments on the GCIC merger and the new means to raise capital, is there any take away we should have here on perhaps timing of Golub 3? And then anything you would do differently, whether it be size, any new structures of the new BDC that we would think about? Appreciate any commentary.
David Golub: Sure, so by way of context, for those who aren't familiar with Golub Capital's private BDC, after we created Golub Capital Investment Corp., which recently merged with GBDC, we created a second private BDC, very creatively called Golub Capital BDC 3. And Golub Capital BDC 3 is a public filer, so you can chart its progress through its publicly filed 10-Qs and 10-Ks. And it is in ramp-up mode right now. And I can't promise anything about what will happen with respect to Golub Capital BDC 3 because as you know from the GCIC merger, there are many factors and many parties that go into figuring out what the appropriate path is for a private BDC, but what I can tell you is that, from my perspective, speaking as the CEO of GBDC, the merger with GCIC seems to me to have been very successful for all parties. And so I think it would be logical for us to look at opportunities to potentially repeat the approach that we undertook with respect to GCIC.
Finian O'Shea: Thank you for that context there. And just to follow on the portfolio credits this quarter. With the two non-accruals, these were marked at reasonable discounts, say, 80-ish, but putting the names on non-accrual usually means that you have, to some extent, reassessed the recovery of these credits and the new marks seem to have moved as much. So understanding there are sensitive situations, is there any context you could provide us there as to the placement onto non-accrual and the very narrow markdowns?
David Golub: So again let me provide some context. So non-accruals at cost and fair value increased in the most recent quarter to 1.6% and 1.3%, respectively. Whenever we think about non-accruals, we feel a degree of concern, right. We are naturally worriers. We worry about everything. One of the things we worry about is non-accruals. I want to make sure, though, that everyone keeps our concerns in appropriate context. So first, this quarter GBDC continued its strong track record of generating positive net realized and unrealized gains on investments. And that's the metric that we think is, over time, the most important indicator of credit performance. That's why we focus so much in our earnings presentation each quarter on the chart in our presentation depicting NAV per share over time. A second way we look at credit and overall credit quality is based on risk ratings. And again, in respect to risk ratings, if we look at the most recent quarterly results, I think they show a great deal of stability quarter-over-quarter and for many quarters in a row. And the third contextual point I will make is that the latest figures indicate that even with this small increase, we are still in the low end of the range of the industry and we are in our historical range in respect of non-accruals at cost. So I don't want to make any of this sound like it's more dramatic than it is. With that said, we are working hard with the managements of the two companies that we put on non-accrual this quarter and I can't get into the details of either of the two situations, but what I can say is, I am cautiously optimistic that in respect of both companies, we are on a good path toward good recoveries.
Finian O'Shea: Okay. Thank you for the context. That's all for me.
Operator: Thank you. Our next question comes from the line of Ryan Lynch with KBW. Please go ahead.
Ryan Lynch: Hi. Good morning. Thanks for taking my questions. The first one just has to do with MMan Acquisition Co. Is it possible to provide any background on to what is the nature of that business? We were having a difficulty actually finding any information about what that business actually does.
David Golub: We, as a policy matter, don't talk about specific credits on our earnings calls. Having said that, I believe there is some public information about this company and Ryan, we will get back to you with links to that.
Ryan Lynch: Okay. That would be helpful. And then you know, obviously you had Oliver Street Dermatology on non-accrual this quarter and then another investment that got markdown was Dental Holdings, still on accrual status. Those are obviously two different businesses, one's dental, one's dermatology. But I know there has been some concerns around healthcare, particularly healthcare roll-up strategies. So are either one of these businesses part of a healthcare roll-up practice? And are there any sort of similarities that we can look across these two different businesses that are potentially pressuring both of them?
David Golub: They are really entirely different businesses. One is and one is not a physician practice roll-up. I would describe the issues that each of them are confronting as idiosyncratic and specific to them. I do think your preface is right, which is that there are pressures on healthcare roll-up strategies in general that we are seeing across the industry in middle-market land as well as in broadly syndicated land. And I talked about this on prior calls. I think it's fair to say, in my opinion, that healthcare roll-up strategies are harder to execute than people thought a few years ago.
Ryan Lynch: Okay. And then one question, kind of a higher level question. As you guys roll into 2020 and as conversations come along with sponsors, obviously 2020 is a big election year, which always draws a significant amount of uncertainty surrounding that time period. Have you had any conversations, or have you heard sponsors talk about, potentially trying to move forward deal activity and get deals done before the election? Have you heard any of those discussions?
David Golub: I have heard a lot of discussion about the election about the divisiveness of American politics right now, about concerns that folks in private equity have about some of the negative commentary about private equity that has been coming out in some of the campaigns. I have not heard anything along the lines of what you are describing, which is a desire by private equity firms to push up the schedule of M&A activity in an effort to get done before the election happens. It wouldn't surprise me if we see some of that phenomenon happen later in the year. But I think right now, Ryan, we are too early. M&A processes don't take 12 months to move along. A typical M&A processes is four to six months. So I think we are too early to see that kind of pattern, even if we are going to see it later in the year.
Ryan Lynch: Okay that's helpful. And then one more. In November, you guys provided a $1.6 billion facility to Risk Strategies. Just recently you guys provided another $1.6 billion unitranche facility to MRI Software. Those are obviously very big wins for your firm and your platform, broadly speaking. Can you just talk about how you were able to win those deals and secure those financings? And also, what were maybe the thought processes of maybe those two companies to choose a partner like Golub versus, obviously the size of those deals there is other avenues, particularly the broadly syndicated loan market, I would assume, that they could have tapped. Why did they choose the Golub platform versus going to the more traditional broadly syndicated loan market route?
David Golub: Sure. So both Risk Strategies and MRI were one-stop executions. So in both cases, the sponsor made a decision that they thought that a one-stop was preferable to a traditional first lien/ second lien/ broadly syndicated approach. Sponsors historically have preferred one-stops for a variety of reasons, including scalability, flexibility, capacity to more gracefully handle expansions by acquisition, ease of closing, smaller number of parties involved which facilitates changes down the line, reasons along those lines. Until relatively recently, one-stops were a middle market product and not a larger market product. And what happened, Ryan, over the course of 2019 is that's changed. In 2019, we have tracked 23 one-stop executions in excess of $500 million. And Golub Capital has been that clear market leader in these executions. We led or co-led 13 of the 23. So we led or co-led more than all of our competitors combined. The capacity that we built to meet these transactions is unmatched in the industry. We combined both the capacity to hold a significant portion of these larger one-stops and we have a capital markets capability to bring in partners. And I think what we have done, over the course of 2019, is proven for sponsors in larger transactions that one-stop executions are worth considering as an alternative to the traditional first lien/ second lien. I think what we are also seeing is as sponsors do try one-stops in these larger executions, they are finding that they like them. And so, in my opinion, we are at the beginning of the adoption curve. We are not even remotely close to the conclusion of the gaining of market share of one-stops. And I think we at Golub Capital are very well positioned to maintain our leadership as this larger one-stop market grows. And I believe that's a very good thing for shareholders of GBDC, because we are strong believers that these one-stops represent very good risk/rewards for investors.
Ryan Lynch: Well, that's helpful color. And yes, there is no doubt that that Golub has been the premier player in some of these large one-stops and I definitely see the benefits for GBDC shareholders to be able to access that very unique deal flow. So those are all my questions today. I appreciate the time.
Operator: Thank you. [Operator Instructions]. Our next question comes from the line of Robert Dodd with Raymond James. Please go ahead.
Robert Dodd: Hi guys. Just going back to credit, if I can, for a second with the non-accruals. I mean obviously, one dermatological practice, one industrial floor cleaner, I mean completely different parts of the country, completely different businesses. Is there anything thematic between the two, like the same sponsor or anything like that? I mean, my opinion is, sometimes if I can identify a theme, that means any potential spreading of credit deterioration, they are not just in your book, but in general, can be constrained. But idiosyncratic can sometimes turn into something much more broad-based. So any color you can give on that front, it would be really interesting.
David Golub: Robert, as I said earlier, if there are common themes or threads across the portfolio of companies in our portfolio that have experienced some credit weakness in the recent period, I am not seeing it. From my vantage point, what I am seeing is idiosyncratic issues that are very different from credit to credit.
Robert Dodd: Okay. Got it. I appreciate that. It's tough. On the kind of pricing environment out there, if I can, not in your book per se, but in the boarder market, January was incredibly competitive again and we have got forward curves on LIBOR continuing to decline slightly but spreads don't seem to be widening in response. If anything, we have seen LIBOR floors seemingly coming down in the board market. So where do you think the risk/reward is evolving right now? And obviously, to put words in your mouth, you are going to say one-stop. But more broadly, it seems like the pricing environment with the forward curve having the shape it is, I would have expected may be spreads and some other things to be moving in a more favorable direction. I think this was discussed on the call last quarter, but we just so far have not seen that. So do you think there is anything that's going to really get the spread environment to move in a more favorable direction given the direction of LIBOR?
David Golub: I don't think LIBOR changes are likely to drive meaningful changes in spreads. I think we are likely to see meaningful changes in spreads come as a consequence of changes in the credit environment and, in particular, in response to changes in perceived risk of go-forward defaults and recoveries. So right now, we are in an environment in which the economy, particularly the U.S. middle market economy, continues to look very strong. And we reported that in our Golub Capital middle market index results in early January. As long as we continue to see economic activity as robust as we are seeing and associated with that, a reasonable expectation of continued salutary credit environment, I think we are likely to continue to be in the kind of spread environment that we have been in for the last couple of years. These risks, by historical standards, are not terrible. They are not as good as you and I would like, but they are not terrible. And the job for us as credit managers is to be very selective and pick credits that we have conviction are likely to pay us back.
Robert Dodd: Got it. I appreciate that color. One last one, if I can. Given now the combined entity is 2X the size roughly and one of the discussion points at the time of initiating the merger was accessing maybe the institutional bond market, et cetera, et cetera. What can you tell us about -- where do you think you can drive the cost of capital, debt capital, for the BDC versus where it is right now? Obviously it's pretty attractive right now, but do you think you can move that in any material way lower as a result of the overall size and the bond market out there right now, which seems to be pricing debt pretty nicely for BDCs?
David Golub: As I mentioned last quarter, one of our activities post-merger is to look carefully at the right-hand side of the balance sheet and to explore all of the potential avenues that are available to us to optimize the debt capital structure of GBDC. That expressly includes looking at bond issuance, that expressly includes other strategies as well. Too early for me to give you a rundown on what we have concluded on that front, but we are actively looking at that.
Robert Dodd: Okay. Appreciate it. Thank you.
Operator: [Operator Instructions]. And there are no further questions at this time.
David Golub: Thank you, Christine and thanks everyone for joining us today. As always, we appreciate your time and your questions. If you have any issues that did not come up on today's call that you would like to talk about, please feel free to reach out. And in any case, we look forward to talking to you again next quarter.
Operator: That does conclude the conference call for today. We thank you for your participation and ask that you please disconnect your lines.